Operator: Good morning. My name is Maria and I will be your conference operator today. At this time, I would like to welcome everyone to the Pangaea Logistics Solutions Fourth Quarter and Full Year 2020 Earnings Teleconference. Our host for today's call are Mr. Ed Coll, Chairman and Chief Executive Officer; and Mr. Gianni Del Signore, Chief Financial Officer. Today's call is being recorded and will be available for replay beginning at 11:00 A.M. Eastern Time. The recording can be accessed by dialing 800-585-8367 or 404-537-3406 and referencing ID number 5197869. All lines are currently muted and after the prepared remarks, there will be a live question-and-answer session. [Operator Instructions]. It is now my pleasure to turn the floor over to Ms. Tiya Gulanikar with Prosek Partners. 
Tiya Gulanikar: Thank you, Maria and thank you for joining us for this morning's fourth quarter and full year 2020 earnings conference call for Pangaea Logistics Solutions. With us today from the company are Chairman and CEO, Mr. Ed Coll; and Chief Financial Officer, Mr. Gianni Del Signore. Before I turn the call over to Ed, I'd like to read the Safe Harbor Statement. This conference could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Pangaea Logistics Solutions. Forward-looking statements are statements that are not based on historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Pangaea Logistics Solutions management and are subject to risks and uncertainties which could cause the actual results to differ from the forward-looking statements. Such risks are more fully discussed in Pangaea Logistics Solutions' filings with the Securities and Exchange Commission. The information set forth herein should be understood in light of such risks. Pangaea Logistics Solutions does not assume any obligation to update the information contained in this conference call. Also, please recall that a supplemental slide presentation will accompany this call. Those slides can be found attached to the 8-K that was filed with last evening's release, which is available on the Investors section of www.pangaeals.com under Company Filings or on the SEC's website at sec.gov. Now I would like to turn the call over to Pangaea Logistics Solutions' Chairman and CEO, Mr. Ed Coll. Ed?
Ed Coll: Thanks, Tia and good morning to all of you. And thank you for joining us on the call. This morning I'll provide an update of our operations on the overall market before turning the call over to Gianni, our CFO to provide a more detailed overview of the fourth quarter and fiscal year 2020 financials. We'll then open the line for questions. I'd like to begin by expressing well-wishes to you and your families. I hope that you're healthy and safe, and our thoughts are with all of those who have been impacted by COVID-19. I'm especially proud of our entire team this year, both on shore and on our vessels. The performance to keep the company moving forward against the challenges of the global pandemic is remarkable and the efforts to work as a team and to adjust to rigorous safety standards and still perform at best-in-class results is truly appreciated. We are also pleased to see attention from the entire industry to seafarer wellbeing in the recent Neptune declaration, which we were proud signatories of. Pangaea remains committed to the health and wellbeing of our employees and as a company, we will continue to follow all local and international regulatory guidance and best practices when it comes to operating our business safely.  We hope you've had time to review our press release and the accompanying presentation, which were issued last evening. Our strong fourth quarter results capped off another profitable year with full year net income of $11.4 million and earnings per share of $0.26. As we have said in the past, our client focused business model that prioritizes cargo, helps us to remain profitabile involved in markets, and we think 2020 simplified this. Our nimble strategy allowed us to limit our exposure to the poor markets we experienced in the first quarter by redelivering vessels to their owners early in the year and replace them when needed at lower costs in sync with cargo demand that returned in the second and third quarters. Our average fleet contracted to 40 vessels in the second quarter and expanded back to 53 vessels by year end. As of today, we're operating close to our average high of 60 vessels.  Our achieved TCE rate while lower year-over-year continued to outperform against the average of the Baltic Panamax Supramax indexes. We exceeded the average market rates by $4,413 a day, a 55% premium to market indexes. In addition to keeping the company's base business moving successfully, we worked hard on strategic opportunities by expanding our terminal services, redoing our fleet, and solidifying our position in our ice class niche. In late September, we increased our ownership in our six ice class 1A Panamaxes from 33% to 67% solidifying our position in this strategically important ice class sector and leading to additional refinancings which Gianni will cover later.  We continued to see progress in our ice class new building project in which we expect to take delivery of the first two of four vessels in the next few months. We sold four of our older vessels entering 2020 prior to the market decline and we're also pleased to recently announce the acquisition of a 2013 -- recently announced the acquisition of a 2013 built Ultramax to be renamed Bulk Courageous, and a 2013 built Panamax to be renamed Bulk Promise. Both expected to be delivered in the second quarter. These sale and purchase transactions are additional steps in our effort to improve our fleet age and efficiency. Collectively, we are encouraged by the steps we've taken to expand our platform in ways that add value for our customers and in turn to enhance shareholder value.  As we look ahead, the coming year appears to be bright for dry bulk shipping and for us. We hope this COVID-19 is mitigated in the world economy, the world economy will recover increasing demand for dry bulk capacity. Simultaneously we continue to see restraint in new building orders, which should have a long-term positive effect on the dry bulk industry. The first quarter of 2021 rates have been a welcome surprise to many and perhaps an indication for the year ahead. However, we're always prepared for uncertainty in our markets and we'll continue to react quickly. We'll continue to be opportunistic as we have been in delivering best-in-class services for our clients, looking to acquire new vessels when opportunities arise and developing new business that complements our platform. We look forward to updating you of developments in the coming quarters. With that I'd like to turn the call over to Gianni to provide additional details on the financials. Gianni.
Gianni Del Signore: Thank you, Ed and thank you all for joining us on today's call. Again, we hope everyone remains healthy and safe as we continue to adjust to new restrictions or in some cases return to some normal work environments. We thank our employees and crew for their extra efforts during these unprecedented times. Before walking through our financials, I'd like to expand on a few recent transactions. As I'd mentioned, we were excited to complete the acquisition of an additional one third interest in our partially owned consolidated subsidiary Nordic Bulk Holding Company, which owns six ice class 1A Panamax vessels, bringing our ownership interest from 33% to 67%. This led to refinancing opportunities on the six vessels.  As you will see in our year end financials, in December we completed the first financing trend transaction for $18 million on the Nordic Odyssey and Nordic Orion vessels. The debt will be paid back over a seven year term to a $4.4 million balloon and interest is fixed at 2.95%. Separately on March 8, 2021, we obtained a commitment letter from two new lenders for a six year $53 million senior secured loan facility to be used to refinance the remaining four ice class vessels, which is expected to close in the next couple of weeks. We've also taken additional steps to renew our fleet, reduce our average fleet age, and strengthen our financial position. As Ed mentioned, our upcoming acquisition of the Bulk Courageous also led to additional financing opportunities. In February we signed a term sheet for up to $12 million payable over seven years with an interest rate of LIBOR plus 2.75%. We expect to close simultaneously with delivery of the vessel in April.  With that, I'll now turn to our full year financials starting on Page 6 of our presentation. Voyage revenue, which are revenues generated from carrying cargo for our clients was $349.7 million, a decrease of approximately 4% compared to $365.7 million the same period in 2019. This is predominantly due to lower average TCE rates. Although our TCE rates decreased 12% to $12,433 per day from $14,199 per day in 2019 tracking the market declines from year-to-year. However, the company’s achieved TCE rates continue to outperform against the published market rates by approximately 55%. Charter revenues, which are opportunistic and tied to market rates decreased to $33.2 million compared to $46.5 million in 2019. The decrease in charter revenue was due to a decrease in market charter rates and a decline in time charter days, which were down 5% as we limited our exposure to the market.  Charter expenses paid to third-party ship owners decreased to $127.8 million from $133 million. Our nimble chartering strategy allows us to charter in vessels typically on short-term basis to supplement our own fleet when needed to meet clients cargo commitments. Due to the sale of vessels in early 2020, we increased our chartering days by 14%, which was offset by a 16% decrease in charter in rates. The sale of owned vessels also led to a decrease in vessel operating expenses, which decreased 16% to $38 million. Excluding technical management fees vessel operating expenses on a per day basis was $5,432 per day. Net income for the year was $11.4 million or $0.26 per share compared to $11.7 million or $0.27 per share for the same period in 2019.  Moving on to the balance sheet and cash flows on Page 7 of our presentation. We ended the year with $48.3 million of total cash and cash equivalents, including restricted cash following an active year of operating investing and financing activities. In early 2020, we temporarily suspended our quarterly dividend to maintain a strong liquidity position, however, in December we announced the reinstatement of a $0.02 per share dividend. Moving down the balance sheet, current portion of long-term debt reflects approximately $51 million of debt, which is due on our four ice class vessels, which as mentioned earlier is expected to be refinanced with a new $53 million loan facility.  As you can see, we continue to expand our platform and focus on a strategy that puts our client’s cargoes needs first, optimizes our assets, and adds value. We are excited about our new projects in 2021, as we drive growth and expansion opportunities and continue to generate shareholder value. With that, I will now turn the call back over to Ed for any additional remarks before we get to the Q&A portion of the call. Ed. 
Ed Coll: Thank you, Gianni. We thank our customers, business partners and shareholders for the continued commitment and partnership. And we look forward to updating you further in the coming quarter. We will now open the floor for questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Poe Fratt of Noble Capital Market. 
Poe Fratt: Good morning Ed, good morning Gianni. I wanted to -- Ed, you talked about the market being a little bit stronger than expected to say the least over the first part of the first quarter of the year. And I just wanted to ask a couple of questions just from the two perspectives; one, from your own fleet perspective, are you doing anything to try to lock in or where do you see current rates right now for your own fleet? And then secondly, if you could highlight any changes in customer or cargo that have been triggered by the higher rate environment, are you seeing any less volume if you will or any changes on your customer behavior because of the change of the rate environment? 
Ed Coll: Okay, well thank you. I mean the -- I mean the reality is we keep our approach the same. So we benefit from the increased rates because we have -- we do have an exposure of course to what's going on. But in this environment we tried to very much support our customer base and basically try to stay out of doing business at discounted levels. So that's worked out pretty well and because our general business is backlog related, that's been quite helpful. It's -- we continue on with things but the rates are higher, the projects are continuing to evolve and go forward. And I think that we -- what we see is that with everything that's going on and we're going to come out of this situation with a lot of pent up demand across the board, across the world. So it's probably that in line with the issue with new buildings being muted, it gives us a great window for seemingly for at least a couple of years. So we're in the process of redoing some of the longer term contracts. We've done some things with the -- obviously with the new buildings that are coming. And that's been fortuitous that those ships are going to come in and do quite well. But I think what we're seeing is the world is waking up and so it's taken a little bit of time. But I think all the people that we deal with around the world start to understand that this is a new environment, and they have to adjust. So if the price of a commodity is pick a number if it's 40% more then they realize that's what they have to pay. That's what it is. And, but people are coming out of the weeds I would say in that sense. We see a lot of demand coming up across the board and for us we will capture the benefit of that and we're well positioned to take advantage of the increase in the rates and also to protect the downside, which we've always done.
Poe Fratt: Okay, have you so you haven't seen pretty much the shippers are adjusting to the current rate environment, you're not seeing any change in volume. It sounds like that you're running currently a total fleet of about 60, as we look into the second quarter, the rest of the first quarter and the second quarter and maybe even take a leap on the second half, where do you think the current fleet will be, is 60 a good number to use for the full year, I know it waxes and wanes a little bit, but could you just give us an idea of sort of how the fleet looks for the full year?
Ed Coll: Sure. I think the answer to that it's opportunistic in its nature. So when you get in an environment like we're dealing with now on doing non contract business, things will come up and you do them and it makes the operating environment a little bit easier because people need to move their cargo and their commodity. So is it going to be 60 ships, I don't know. Is it 55, I don't know, if it's 65 I don't know. But I think we'll probably be around this level for the balance of the year and if things change in the market, our chartered fleet will change accordingly to get the best mix of earnings and going forward. So some of the rates that we're seeing are extremely high and the market has got people hanging in there with their teeth. Is this a supercycle we get asked that question a lot. But we've been around long enough to know that we don't know, but we'll take advantage of it while we can and we will continue to work on our projects to build long-term stability into our shipping model, including a lot of the things that we're doing with terminals, etc. which provide a base for the business, good earnings going forward and then lead to other cargo business. So the number of ships, I can't accurately say it's very opportunistic.
Poe Fratt: Okay, great. Maybe Ed, would you expand and you talked about just that it was a surprise, can you -- the strengthened market was the surprise, can you sort of highlight what surprised you the most so far this year and are there any temporary factors that we should consider that might have moved the market one way or another?
Ed Coll: Well, I think you ended up -- there's a lot of different pieces of that, but the “world” decided that Q1 was going to be terrible for dry bulk shipping, right. And what I mean by that is, you get all the big grain companies, all the big mining people, they not only kept themselves short of tonnage, they doubled down and took third party business often at a discount to the market. And you have also a lot of these, the operators, that took positions in the same way and so now they struggle to reverse their position. And a lot of it was historic, that the people looked at it and said this is what it was last year, the year before, etc. And, but for us we've always kept an even keel with these things. And so we continue to be able to make good returns, because we didn't largely buy on to making giant bets on the market. We just run our business and we make our money that way. And, so now you come out of it and we talked about this internally quite a bit. Now you're coming out of a situation where I think trade was very restricted because of the policies of the government and now that's changing. And we're starting to see the effect that people -- that there's some stability, let's say, in our trading worldwide, and basically in trade and people feel comfortable to go and do projects and go and do things. And the pandemic, of course, has had a huge effect on everybody, has effect on us.  The most difficult part about that is that, the people on board the ships, it's a terrible situation for them and we bought these two ships recently. And one of the biggest things that we had to work our way through was how are we going to be able to replace the crew, where can we do it, how can we do it, and you have these guys that are stuck on the ships for a very long time. So -- and then everybody has the same problem in their offices, where you can't get -- you have to adjust to getting people in the office and people working from home. That's been a big adjustment and this is for every company, not just in shipping and trading. So -- and the world is going to come out now differently. I'm not sure exactly how but it definitely will be a different environment. So I think we have successfully so far net now navigated that situation. And I think we're pretty excited for what is actually going to come in the next couple of years, especially, a lot of the projects we have been working on which we have not been able to drive to a conclusion, because of this pandemic situation where no one can travel, and that's a big problem in our business.
Poe Fratt: Great. And one thing that another shipping company had mentioned to me is that, it seems like the shippers or the people move the cargo, have had the luxury over the last several years have seen plentiful tonnage availability, that there was really never an urgency to lock in and maybe they manage their business on a just in time basis. And now it's shifted more to just in case businesses, is that something you'd agree with or does that statement have credibility right now?
Ed Coll: Look, I think probably what you end up with is it goes in the same way. I mean, people get comfortable with the status quo and a lot of companies have kept themselves short, right, because they think they could always find a ship. And, but you get an environment that's going on right now and it's not that easy. And if you have an old, let's say, if you're a commodity trader, whatever the commodity is and you are short on the freight, then you're in a world of hurt, right. I can give you one example of this big aluminum company that they run things in one of their trades, and they've always managed in recent years to get what they wanted. So they kept themselves that way. And now it's going to cost them $25 million or $30 million extra for ocean freight. That's what's going to happen this year.  And so you can multiply that because that's what's going on and if you have, again, a go back to people like the grain companies who are basically their traders in the end, in the trading paper positions, and their makeup is set, they're short by nature of tonnage, and they try to work around it. But then you double down and not only you have your own short position, then you have additional cargo you've taken on at terrible rates. So, it's like turning around a supertanker when you're really on the wrong side of it, you can't, it's hard to be nimble. We -- our structure allows us to be to be pretty nimble, and take advantage of these things. But yeah, there are a whole lot of people that were short, that have to change their position. And it's good for the general shipping industry, it's good for the commodities that have all risen if we look at the price of iron ore, China, it's double what it was, and so on and so forth around the world. You also come to a situation now where are you going to have inflation, that's always a good thing for shipping. And that could take place I mean, I think they would like to have that happen, because you can pay back your debt in cheaper dollars. But, all the things are lining up together. For a better market for the foreseeable future.  And just one final point is if you wanted to build a new bulk carrier, talk about 2024 because the container ship guys have a lot -- have ordered so many ships to be built and I'm not an expert in that market but that's what they've done. It's better for the shipyards to do more complicated ships, they make more margin. So if you want to actually build a ship, a bulk carrier, it's going to be a long time before you get one. So that is also going to help the balance of supply and demand.
Poe Fratt: Great. And it seems your timing it is seems fortuitous on not only the new builds that you committed to a couple of years ago but also the recent acquisitions. Can you talk about how you approach those acquisitions and how quickly they came about? And then maybe also give us an idea of what the tone of the M&A market or the resale market looks like right now? 
Ed Coll: Sure. Look, I think our view towards ships is fairly generic when it comes to ships that are not ice class or specialty build, right. So we're not doing things unless we have a reasonable expectation of employing the asset in our trading vis-à-vis contracts, etc. So, on the new buildings, we have contract, our old contract. We saw the need to believe in the business. We have a partner and the -- an old colleague used to say that ship values are like a bird on a wire. But, currently we see that the value of those ships that we've ordered, current value is much higher than what we contracted for. And those ships will now start to come into service. And on the other ships, it's really having sold this several older ships, and what drives that to me is you get an older ship that's coming up against a survey where you're going to have to make a further investment in it or you can dispose of them, and start fresh. So I think by the time this process has ended, our fleet age will have gone from around 13 years to around eight years. And that was always part of the plan of fleet renewal and when the ships are all delivered, the ice fleet will be a dozen ships, and/or quite modern. And where other ships in trades are also getting younger. So, it's a combination of things, but we're not generally, the ships that we just bought are more a replacement for the ships that we sold, but they're younger.
Poe Fratt: Okay, great. And then Gianni if I can ask a couple of financial questions. One is that, many companies use a sort of poured covered number that gives us a sort of an idea of how the next quarter is coming, whether it's number of shipping days booked at a certain rate, is that possible for you to give us an idea of sort of how the first quarter has developed so far from that perspective?
Gianni Del Signore: So we've historically never given [indiscernible]. I think what we typically point to is basically our premium that we've earned over various market ups and downs. As the market improves, certainly there's -- no I rather make a smaller premium on a much healthier, higher market than a 50% premium in a low market. But no, I think for Q1 with Ed's commentary, I think, the market is healthy, the rates we are earning these are some all-time highs on some of the stuff we're seeing. So, we're excited about Q1, we're excited about 2021, and even more importantly, I think we're looking ahead and as Ed said about new build orders, tonnage supply, and pent up demand I think we have the pieces sort of falling in place for the next the next year or two to have a healthy run.
Poe Fratt: Yes, and it sounds like you're financing plants are pretty well along the line and falling in place too. Ed, I am sorry, Gianni can you give us the balloon payments on the refinancing for the Nordic Holding Company, what the maturity date and the balloon payment would be on that?
Gianni Del Signore: Yeah. So on -- as I said earlier in my previous comments, our balance sheet reflects the upcoming balloon payment on the existing facility on those four ice class vessels. We are in the process of refinancing them. I expect it to be completed in the next few weeks so that current debt that we see on our balance sheet as of December 31st will be refinanced. So it's incurring but it should really be a long term obligation. The new $53 million loan facility, it's a six year facility with a balloon of 25 million in year six, and it's that LIBOR plus 2.35%. So we will close that hopefully in the next few weeks.
Poe Fratt: Great, and then it sounds like you had lined up another 12 million term loan, can you run through the same details there and then do you expect to finance the other acquisition with similar facility?
Gianni Del Signore: The other -- the loan that we have planned for the Bulk Courageous is with existing lender, it's a seven year term with a balloon of 3.3 million in year seven, and it carries LIBOR plus 2.75%. And then on the Bulk Promise, we're looking for the best solution for her. I expect it will be in line with what we're doing on the Bulk Courageous. I expect terms to be quite similar on that vessel. So we're deploying our capital, we have capital on the balance sheet, we're positioned to do it. We're renewing the fleet and we're doing it as efficiently as we possibly can. So we're looking forward to closing those two vessels as well.
Poe Fratt: Great. And then just one last one, Ed if you could address the Board met the Board composition change and just maybe give us a little color on what's going on there?
Ed Coll: Sure. Well, as you know that the guys from Cartesian, we had two guys on the Board Poe and they've left. Cartesian remains a big shareholder and I would say it's part of their, what they do, they've been in the business for at least 12 years. And they've been quite helpful across the Board, but they're going to basically try to position themselves differently. Those guys -- Cartesian is not that big and those guys have other things to do. They trust us to run the business and they will be involved as a big shareholder. And in terms of the replacement, I don't think we need to do anything right away. We had a big Board for the size of our company and we'll save a bit of money by working in a reduced number of Directors. But yeah, I think that's pretty much the answer, they trust us to do. We've done for our lifetime and if they have something to add, then they will certainly add it.
Poe Fratt: Great. Thank you for your time. I look forward to seeing how the rest of 2021 unfolds. Thanks Ed and thanks Gianni. 
Ed Coll: Thank you Poe.
Operator: [Operator Instructions]. I'm showing no further questions at this time, sir.
Ed Coll: Okay, well then thank you very much to everyone for taking the time to join us this morning and have a good day.
Operator: Thank you ladies and gentlemen, this does conclude today's conference call. You may now disconnect.